Hisato Kozawa: Good afternoon. This is Kozawa speaking. Let me start the Q1 financial results using the PowerPoint presentation material. We have already released this material, so I'm not going to explain everything. I focus mainly on highlights and supplementary items. First, let me start with the overview.
 Please turn to Page 4, and also please use Page 5. Order intake was JPY 750.4 billion, up about 9% year-on-year. Order intake has returned to the pre-COVID levels of 2 years ago. Major year-on-year growth were achieved in Plants & Infrastructure Systems and Logistics, Thermal & Drive Systems. Revenue and profit numbers increased year-on-year. We are seeing the recovery trend from the year before. Profit from business activities were positive in all 4 segments.
 Now on pages 6 and 7, I'd like to explain the balance sheet. Total assets increased from the end of last fiscal year with higher working capital. And this is our usual trend of the capital. This is in line with our expectation. Interest-bearing debt level as well as other indicators, they're all within the plan of the beginning of the fiscal year. 
 Page 8 shows the cash flow. About the operating cash flow, same as last fiscal year. Due to the high expenses based on the advances received in the past, it is in negative but COVID-19 situation is stabilizing, and we are seeing the major improvement year-on-year. As for the investing cash flow, cash outflow from -- of Commercial Aviation, including CRJ was significantly lower. As for free cash flow, this is in line with our full year forecast. 
 Page 9 shows order intake and backlog by segment. Page 12 shows a table by segment. So based on the necessity, please refer to Page 12 as well. Order intakes were much higher year-on-year in Plants & Infrastructure Systems and Logistics, Thermal & Drive Systems. Although it is not on the slide, in comparison, 2 years ago, Plant & Infrastructure Systems increased, Energy slightly increased and Logistics, Thermal & Drive Systems declined slightly. Aircraft, Defense & Space decreased slightly.
 Page 10 shows revenue by segment. The Aviation, Defense & Space segment is down year-on-year due to the absence of rocket launch this year. The other segments are up year-on-year due to recovery from the downfall due to COVID-19 situation last year. 
 Page 11 shows profit from business activities by segment. Every segment is recording a positive increase in profit and is off to a good start towards the annual guidance. Defense & Space is recovering substantially because of the suspension of the SpaceJet last year.
 Page 12 shows order intake, revenue and profit from business activities by segment. Explanation will be omitted to avoid overlap. Supplementary materials for each segment is available on Slide 20 onwards. Please refer to them at your leisure. 
 Slide 13 shows variance analysis vis-a-vis last year in terms of profit from business activities. The bar on the far left shows business profit for Q1 FY '20 being negative JPY 71.3 billion or negative JPY 2.4 billion, excluding SpaceJet.
 Business profit for Q1 FY '21 is shown to the far right at JPY 21.4 billion. Factors behind the variance are shown in the middle. Recovery from COVID-19 are explained by the 2 factors on the left, JPY 9 billion and JPY 3 billion, respectively. For Logistics, Thermal & Drive Systems, I will give you the details on next pages.
 ForEx impact was positive because the yen depreciated against the U.S. dollar and against the euro, especially the yen depreciated more than 10% on average. Other is related to improved project management and fixed cost reduction.
 Please refer to Page 14. This slide shows impact of COVID-19 on Logistics, Thermal & Drive Systems as well as Commercial Aviation businesses. Commercial Aviation Tier 1 is aircraft supply business to Boeing and other customers. The result was almost flat from same period of last year when the downturn had already begun before the outbreak of the pandemic. The trend picked up slightly in Q2 last year, but it turned downward by Q4. Domestic air travel demand is returning in areas such as the U.S., Europe and China, but the international demands are still in downtrend, leading to a slow recovery of our wide-body aircraft demand.
 Logistics, Thermal & Drive Systems recovered the revenue level of the pre-COVID period, except for the automotive applications. And we believe that the demand will come back for other areas. Thanks to the fixed cost reduction last year, profit has surpassed the pre-COVID level 2 years ago.
 Slide 15, please. This is a summary of Q1 FY '21 results. In simple terms, the financial performance for Q1 was generally in line with the guidance. The reduction in SpaceJet costs and the COVID-19 impact are being resolved, and we are coming back to normal. However, in Japan as well as in other Asian countries and in other countries, infection is resurging with a variant strain. We cannot be optimistic about the future of the global economy. We will stay vigilant about any short-term movement of the market so that we can hit the annual guidance by acting quickly.
 Slide 16 onwards show FY 2021 forecasts. Those are unchanged from the announcement in May. 
 With this, I would like to conclude my remarks on the financial results for the first quarter of fiscal year 2021. Thank you.
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]